Operator: Greetings and welcome to the Balchem Corporation Second Quarter 2014 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Bill Backus, CFO of Balchem Corporation. Thank you, Mr. Backus. You may begin.
Bill Backus: Ladies and gentlemen, thank you for joining our conference call this morning to discuss the results of Balchem Corporation for the quarter ending June 30, 2014. My name is Bill Backus, Chief Financial Officer, and hosting this call with me is Dino Rossi, our Chairman, President and CEO. Following the advice of our counsel, auditors and the SEC, at this time, I would like to read our forward-looking statement. This release does contain or likely will contain forward-looking statements, which reflects Balchem’s expectation or belief concerning future events that involve risks and uncertainties. We can give no assurance that the expectations reflected in forward-looking statements will prove correct, and various factors could cause results to differ materially from our expectations, including risks and factors identified in Balchem’s Form 10-K. Forward-looking statements are qualified in their entirety by this cautionary statement. The financial information that is referenced in this meeting was disclosed this morning in our quarterly press release at 9:30 A.M. Eastern Time. I will now turn the call over to Dino Rossi, our Chairman, President and CEO.
Dino Rossi: Thanks, Bill. Good morning, ladies and gentlemen and welcome to our conference call. This morning we reported record quarter consolidated net sales of 132.2 million which resulted in net income for the quarter of 9.7 million or $0.31 a share. As disclosed in this morning's press release the second quarter results include items relating to the acquisition of SensoryEffect that impacted our results. As a reminder on May 7th, Balchem acquired SensoryEffects, a privately held supplier of customized food and beverage ingredient systems. We are happy to provide additional details for you on these items as we proceed through the call. As mentioned for the second quarter, we reported earnings of $0.31 per share on a GAAP basis. This results includes several certain nonoperational items that I would like to highlight. The largest item is a pre-tax charge of approximately 4.7 million relating to the fair value of SensoryEffects inventory acquired and sold during the quarter. Business combination, accounting rules require us to value inventory acquired in connection with our acquisitions at fair value. Therefore, the cost of goods sold for the acquired fixed gods is higher than what have otherwise been recorded as if produced ourselves of. Most acquired finished goods inventory was sold during the quarter. Inventory produced by us is valued at lower cost of market which will result in higher margins. Amortization expenses of 4.6 million for acquisition-related intangible assets are also expensed in our GAAP financial statement. These charges are significantly impacted by the timing and valuation of the acquisition. Consequently, our non-GAAP adjustments exclude these expenses to facilitate and evaluation of our current operating performance in comparisons to our past offering performance. We also incurred transaction and integration cost related to the acquisition totaling 1.5 million, which were expense end in our GAAP financial statements. I'm happy to report that we believe the transaction-related expenses are substantially behind us. Our second quarter sales of 132.2 million were 58.7% greater than the 83.3% prior year primarily quarter. Excluding the impact of the SensoryEffects acquisition, net sales were up 15.1% compared with second quarter 2013 and grew 11.4% on a sequential basis. In the quarter, our Specialty Products segment generated second quarter sales of 13.6 million, and grew 3.2% over the prior year quarter. Animal Nutrition & Health sales of 69.4 million were up 20% over the operable quarter. Sales in the ANH ingredient sector were very strong increasing approximately 46% from the prior year comparable year quarter, primarily due to higher sold while monogastric feed grade choline product sales were up 13.2%, primarily due to increased volume sold of choline product source from Italian operation into the European and other international poultry market. Sales of industrial grade products were up approximately 17% from the prior year primarily quarter as volumes sold of choline and choline derivatives for industrial application notably for shell fracking increased appreciably. SensoryEffects, formerly Food, Pharma & Nutrition segment net sales were 49.2 million, an increase of 37.1 million from the comparable prior year quarter. Net sales from the newly acquired SensoryEffects business contributed 36.4 million to the overall increase. We also realized double-digit growth in sales of encapsulated ingredients for baking and food preservation where end markets remain strong. U.S. GAAP reported earnings from operations of 16.5 million declined $100,000 from the prior year compare quarter even as our earnings result was negatively impacted by transaction and integration costs relating to the aforementioned acquisition of 1.5 million and inventory valuation adjustment relating to the business combination accounting principles for the aforementioned acquisition of 4.7 million and 300,000 methanol surcharge from a key supplier due to mechanical failures at their feedstock supplier and product mix. We will talk further about all these items in the individual segment discussion. As previously noted, consolidated net income closed the quarter at 9.7 million, down from 11.6 million in the prior year quarter. This quarterly net income translated into diluted net earnings per share of $0.31 as compared to the $0.38 we posted in the comparable quarter of 2013. On a non-GAAP basis, as detailed in our earnings release, our diluted net earnings per share were $0.53 as compared to $0.40 in a prior year quarter or 33% increase. Our consolidated gross profits were 32.3 million or 25% of sales in the quarter down from 30% in Q2 of 2013. Gross margin for the combined SensoryEffects segment was reduced primarily due to the valuation of acquired inventory to fair value which increased cost of sales by 4.7 million and product mix more heavily weighted towards the Powder and Flavor systems at SensoryEffects which generates a lower gross margin. Gross margin percentage declined to the Animal Nutrition & Health segment by 1.1%, primarily due to a heavier weighting towards choline products as well as a higher distribution costs related to customer mix. Consolidated operating expense for the three months ended June 30th, 2014 were 15.8 million or 12% of net sales as compared to 8.3 million or 9.9% of net sales to the three months ended June 30th, 2013. The increase was primarily due to increased amortization expense of 3.5 million related to the acquired intangible SensoryEffects assets, as well as acquisition and integration expenses of 1.5 million. Looking forward, we expect to leverage off of our existing SG&A infrastructure and exercise tight control of all controllable operating expenses. Interest expense for the three months ended June 30th, 2004 was 1.3 million and is primarily related to the senior secured term loan of 350 million and revolving loan of 100 million. The term loan and 50 million of the revolver in combination with cash on hands were used to fund the acquisition of SensoryEffects. The company's effective tax rate for the three months ended June 30th, 2014 and 2013 was 36.4% and 30.6% respectively. The increase in the effective tax rate is primarily attributable to the impact of new jurisdiction related to the SensoryEffect acquisition. A change in the portion relating to state income taxes, a change in the income proportion towards jurisdictions with higher tax rate and the timing of certain tax credits and deduction. As outlined in our earns release, our second quarter results generated approximately 30.9 million of adjusted EBITDA in the quarter which translates into approximately $1 per diluted share or 23% of sales and is a 54% increase over the comparable prior-year quarter adjusted EBITDA. Our balance sheet continued to strengthen and our cash flow remains strong as we closed up the quarter with approximately 60 million of cash. As mentioned a lot of moving parts and we'll be happy to answer questions in a few moments. But first in an effort to detail our consolidated results better for you our shareholders. I am now going to have Bill Backus, discuss the ARC Specialty Products and Animal Nutrition & Health segments.
Bill Backus: Thanks, Dino. The ARC Specialty product segment posted quarterly sales of approximately 13.6 million for the three month ended June 30th, 2014, as compared to 13.2 for the three months ended June 30th, 2013, an increase of 423,000 or 3.2%. Increased sales volumes of ethylene oxide products used for medical device sterilization were partially offset by lower sales volumes of propylene oxide for industrial applications. Our quarterly earnings interest operations were 5.5 million, an increase of 184,000 or 3.5%. This increase is principally due to the noted increase in sales. During the quarter, we did realize increases in the cost of certain petrochemical commodity and we continue to incur additional expenses pursuing other new end market applications. In the Animal Nutrition & Health segment we realized sales of 69.4 million as compared with 57.9 million for the three month ended June 30th, 2013, an increase of 11.5 million or 19.8%. Sales and product lines targeted for ruminant animal feed markets increased by 3.7 million or 46.1% from the prior year comparable period. Strong dairy economics supported increased sales volumes of our products, particularly REASHURE, NITROSHURE and AMINOSHURE. Milk prices have remained strong and are currently forecasted to remain so. Expectations of moderating feed prices along with strong export opportunities are positive indicators that show support for great utilization of our products which will maximize results of production animals. Global feed grade choline product sales increased 3.4 million or 13.2% primarily due to increased volumes of choline products sourced from our Italian operation and sold into the European and other international poultry markets. Sales of feed grade choline sold in U.S. markets were up approximately 3.6% in the quarter. Volumes sold in these market are strongly influenced by the various dynamics of our customer based predominantly the poultry production industry, but also swine and agriculture markets. North American choline volumes sold typically track closely with broiler chick placements and egg sets. The current USDA forecast for broiler meat production continues to forecast modest growth for the balance of 2014. Sales for industrial applications comprised approximately 37.7% of sales in the segment as compared to 38.5% for the comparable three months ended June 30th, 2013. Industrial sales grew 3.8 million or 17.2% over the prior year period principally due to volume increases of various choline derivatives for industrial applications most notably the shale fracking. The noted first quarter softness due to weather related issues has past and the resulted in sequential quarter growth of approximately 30%. Our success in this space continues to attract competition from offshore producers. We do, however, remain confident that these products will continue to show strength in 2014, driving steady to increasing levels of sales as we believe the North American end market will continue to grow. We also continue to evaluate industrial opportunities with existing technology and with other technology determine how we may drive more innovative solutions into this and other markets. Our earnings from operations for this entire segment were $9.7 million, an increase of 19.5% primarily due to higher net sales which were partially offset by the previously noted raw material surcharge and unfavorable product mix with the heavier weighting towards choline and higher distribution cost. We continue to see raw material price volatility and seek to implement price adjustments within our contractual guidelines. I will now turnover the call to Dino for him to discuss the SensoryEffects segment.
Dino Rossi: Thanks, Bill. This has been a very busy quarters for this particular segment. As you know on May 7th we completed the acquisition of SensoryEffects where we acquired all of the outstanding capital stock of SensoryEffects for $567 million before working capital and other adjustment. SensoryEffects was a privately held supplier of customized food and beverage ingredient systems. The transaction was financed with existing cash and a new senior secured credit facility consisting of $100 million revolver and $350 million term loan. SensoryEffects provides customized technology driven food and beverage solutions including ingredients basis and finished food systems for multinational and emerging high grade food and beverage customers. SensoryEffects' management team continues to lead the food, beverage and ice cream ingredients business which is now merged with Balchem's Food, Pharma & Nutrition reporting segment strengthening its market leadership position. The acquisition of SensoryEffects accelerates Balchem's strategic growth plan into health and wellness market. Both Balchem and SensoryEffects have strong foundations in innovation, customer focus and cost efficient business models. The expanded team delivering SensoryEffects solutions and Balchem's functional based offerings will be a powerful combination. Some additional facts relating to SensoryEffects are that they have six manufacturing sites all-in North America, three R&D sites with pilot plants, 20 R&D scientists, 480 employees, geographic focus on North America and early development of South and Central America. For the quarter, sales of our SensoryEffects segment were $49.2 million, an increase of $37.1 million from the comparable prior year quarter. Net sales from the newly acquired SensoryEffects business for the period May 7th to June 30th contributed 36.4 million to the overall increase, as we saw strong volumes in both the Powder and Flavor Systems sector. We also realized double-digit growth in sales of encapsulated ingredients for the baking and food preservation where end markets remained strong. Earnings from operations for this segment were 2.9 million versus 3.3 million in the prior year comparable quarter. Excluding the effects of non-cash expenses associated with the amortization of intangible assets, and one-time inventory revaluation adjustments relating to acquisition accounting, non-GAAP earnings from operations for this segment was 11.2 million. This parts of results were achieved from increases in sales in the food sector and our human choline products for nutritional enhancement. We continue to focus building consumer awareness for the benefits of choline, positioning choline with food and nutritional supplement companies as an essential ingredient utilizing the structured function claims awarded to Balchem by EFSA in Europe supporting additional external scientific research and we are excited with the recent FDA proposal that an RDI recommended daily intake for choline be accepted, acknowledging that choline is a nutrients of public concern. We are also working on a number of new projects targeting choline inclusion using SensoryEffects technology. Our pharmaceutical delivery development efforts continue. As previously noted the licensee of our technology being used for treating autism has conducted a successful pre-New Drug Application meeting with the US Food and Drug Administration and is currently filing its New Drug Application. We continue to be well posted with them in support of this filing. In the near-term this sector remains a net expense for the business segment. We remain committed to organic growth as we are always looking to expand our product offers and move into new geographies. We expect to strengthen our global growth platform particularly in the food and animal nutrition market and are confident that more business can be generated based on the unique portfolio of products that we offer. Our business continues to create good balance, yielding profitable growth opportunities across the served value chain. We also remain focused on helping our customers generate reinvestment level returns while maintaining our own operating discipline. We continue to build the financial strength of the company, managing the working capital basis aggressively and yielding solid financial results to be a quality supplier. Near-term we remain focused on integrating SensoryEffects which we are very excited about, while maintaining operational and logistic improvements, new product development and new product introduction across all business segments. We will continue to explore alliances, acquisitions or joint ventures to build and leverage our strategic direction, technology and strong human asset-base which now has more than doubled with the SensoryEffects acquisition. These efforts can and will impact operating expense levels beyond the normal levels we have incurred in the past, but is consistent with the noted strategy to complement our organic growth. This now concludes the formal portion of the conference. At this point I will open the call for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Mike Ritzenthaler from Piper Jaffray & Co.
Mike Ritzenthaler – Piper Jaffray & Co: Hi guys. Good morning and congratulations on a super quarter.
Dino Rossi: Thanks.
Mike Ritzenthaler – Piper Jaffray & Co: On SensoryEffects -- so the growth was pretty tremendous and I was wondering if you could just delineate a couple of the different drivers for us in the growth of the core business and how -- and maybe just an update on how the cross-selling is coming together, the revenue cross-selling?
Dino Rossi: So, the delineation, Mike, that you're looking for is on which piece?
Mike Ritzenthaler – Piper Jaffray & Co: Well, just on the core business didn't really contribute a whole lot to the year-over-year growth. I was just kind of curious a little bit about what -- about those particular products and then just curious about the revenue synergies between the legacy FPN business and SensoryEffects.
Dino Rossi: Yes. Okay. So, I think on the core food business, if you will, we did -- we note that we saw about 15% growth on the straight up end cap business.
Mike Ritzenthaler – Piper Jaffray & Co: Yes.
Dino Rossi: So we did see some nice uptake there. I'm going to say a little softness but not really softening on the choline side of the business and really those are the two slight that we look at on that business. I think it was just a little bit of softness because of order timing of orders and whatnot. Nothing of major concern there from our standpoint. As I mentioned, we're pretty excited about this [status rule] (ph) and from the FDA and expect to positively embrace that and see that move forward. As to the cross-selling question, we have completely integrated what was the Balchem food sales effort and the applications lab into and with the SensoryEffect Group where our sales managers were going to be relocating to St. Louis, St. Louis will be the headquarter for that group and also we're in the process of relocating our application lab from here in New York to St. Louis as well. People have been trained up in -- I would say what were legacy Balchem people have been trained up on inclusions which were in the SensoryEffects product offering and they are actively taking the inclusion story to market to existing accounts as well as new accounts and we're seeing real good recent activity among the existing accounts for sure when our salespeople tell them they have this inclusion in line now. So, that's been very, very positively received. And kind of the next step is going to be train up, if you will more of the sensory folks on encapsulation technology, but that's kind of next step of the plan. So, honestly, I think it is progressing pretty well here for all of ballpark 60 days and overall I think coming together pretty neatly. So, we're pretty pleased with that.
Mike Ritzenthaler – Piper Jaffray & Co: Okay, great. Switching gears a bit to the ruminant growth in the quarter. I guess I'm just kind of wondering what the run way looks like for that with strong milk prices, low feed prices may be helpful to get kind of your current view on the penetration within dairy, for example.
Dino Rossi: Yes. Well, as you note, you know, the dairy economics are currently – they have been and they remain quite strong and so that certainly helps drive if you will the growth of our products into this space. So – and certainly the expectation is through the balance of the year that's going to continue and I'm going to speculate a little bit, we will even continue beyond that, especially with feedstock prices coming down, I'm sure you guys watch corn prices or what not that are near all-time lows right now. The expectation is that those economics are still going to be very favorable. Export sales of milk, dry milk continue to be strong. So, you know, our view is that this market is going to continue to be strong. You know, the development of our products and the growth of those products in North America wise I would say that our penetration level is still definitely below 20%. So a lot of upside opportunity there, but we're also exploring other international opportunities as well. South America, Europe, Middle East. I would – I would say a little bit in Asia, not a lot but a little bit as well. So I think we're finding more and more opportunities outside of the North American boarders that are pretty exciting as well. We're deploying more of our people, technical people in particular to work with either distributors or herd managers in those locations, getting real good positive receptivity there. As we noted, we saw – reassure which is the choline products grow nicely, our AMINOSHURE products were growing quite nicely and chelated mineral as well growing very nicely. So it's nice to see those – you know, get that many good hits in any given quarter. And yet I think that, you know, overall the drivers are very solid that are in place today and near term I don't see any major change there.
Mike Ritzenthaler – Piper Jaffray & Co: Okay. One last one for Bill, if I could just squeeze it in here on just a housekeeping item. I am a little bit confused because I am not an accountant, why not back out amortization of intangibles from the adjusted EBITDA number?
Bill Backus: Why not back it out?
Mike Ritzenthaler – Piper Jaffray & Co: Yes.
Bill Backus: We added it back in because it was an expense item that, you know, for non-GAAP purposes we put it back in to show the EBITDA. Are you looking at it and thinking it's not added-back?
Mike Ritzenthaler – Piper Jaffray & Co: Yes. Or maybe we can follow up on that offline if its – if I'm got something crossed.
Bill Backus: We absolutely – we can do that.
Mike Ritzenthaler – Piper Jaffray & Co: Okay. Thanks, guys.
Dino Rossi: Thank you.
Operator: Thank you. Our next question comes from Daniel Rizzo from Sidoti and Company.
Daniel Rizzo – Sidoti & Company: Good morning, guys.
Dino Rossi: Good morning, Dan.
Daniel Rizzo – Sidoti & Company: Just a quick follow-up on –we just talked about with demand from the dairy industry and to a lesser extent poultry. With Russia abandoning some foods like dairy and already have poultry then in place. Do you think that might be somewhat of a hindrance for the dairy industry and lessen demand for some of your products?
Dino Rossi: I think to straight up dairy, I mean it's possible on quarterly – I have read they've already shifted on beef, if you will, to more Brazil than they are U.S. So – but from a dairy standpoint, I think that those economics a lot of that export wise is being driven by China rather than Europe and/or Russia. So I think our view – at least our overview is that we don't see much interruption to that dairy space happening because of that. But I will say certainly on the poultry side and not that we're selling much product today into South America, but it clearly appears that finished products going to be redirected and, you know, from going to Russia from the States to them importing product were Brazil as well, which certainly has grown as a poultry producing country here over the last couple of years. But straight up on the dairy side I don't think major concern today, but, you know, I don't know that sanctions are over yet either.
Daniel Rizzo – Sidoti & Company: And then with the – with industrial choline sales, I guess, the thought process is that the foreign competition hasn't done away, it still exist, but the market is strong enough or growing large enough to support that competition and your growth as well. Would that be accurate?
Dino Rossi: Yes. I think so. I think that's kind of what we speculated along the way here. Our expectation is that that market is going to continue to grow and I think it's still a long ways from hitting its peak. So the fact that there is additional volume coming in not surprising, perhaps consistent in any given month there's pluses and minuses and we do track that pretty closely, but I think the strength in that overall market certainly allows for uptake including the performance of our product very, very strongly.
Daniel Rizzo – Sidoti & Company: And Taminco is still expected to JV and it's supposed to be online and Taminco is going to be in the market next year, correct?
Dino Rossi: Yeah. I think we're looking at, best case, maybe Q3 of next year.
Daniel Rizzo – Sidoti & Company: Okay. And one final question. You mentioned the RDI for choline being a driver. Is there like a time frame when that might be or is it – did I miss when you said that’s going to possibly…
Dino Rossi: Yeah. So there're still in the commentary period and that – that's about as far I think the early connections have been simply positive, no real negative. And then the time for compliance labeling and everything is – if this does happen as timely as it's going right now we're probably looking at September, October of next year where compliance would come into place.
Daniel Rizzo – Sidoti & Company: All right. Thank you, guys.
Dino Rossi: Thank you.
Operator: Thank you. Our next question comes from Andrew O'Conor from Bank of Montreal.
Andrew O'Conor – Bank of Montreal: Good morning. Dino, Bill. Congratulations on the quarter.
Dino Rossi: Thanks.
Bill Backus: Thank you.
Andrew O'Conor – Bank of Montreal: Guys, I wanted to know, how would you characterize the market and pricing trends for [indiscernible] methylamine looking ahead through the end of this year?
Dino Rossi: Yeah. We made a little commentary there about the issue of feedstock. I think our view right now, methanol drives natural gas. We have what I think is a pretty good contract in place with our major supplier there, so our outlook here is generally stable with the exception of the surcharge situations that we have – we've been nicked with not once but twice this year, order magnitude in our results is somewhere between about $600,000. 330 in Q2 alone, so – which is a bit frustrating for sure, but short of, I'm going to say, those unusual events, we're looking for it to be pretty stable, maybe even down. The globe methanol prices seem to be coming down. I think there's long position out there. You have new capacity coming online from methanol producers that should be online here, sometime next year. In the states capitalizing on cheap gas so, our view of that particular feedstock for us is to be relatively stable and like I say with the exception of the exceptional event.
Andrew O'Conor – Bank of Montreal: Okay. All right. Thanks for that. And then wanted to know if you can elaborate from prior comments what impact do declining prices for grain, corn and soybeans have on the pricing for Balchem's products into the dairy, the poultry the swine end market?
Dino Rossi: Yes. I don't know that it has a direct -- there is a direct correlation to our pricing. Certainly I think to the utilization of our products absolutely. With declining prices on those feedstock certainly that helps to drive good economics, if you will. To be sure, dairy producers, other producers, I mean, when they have the opportunity to produce more milk, they are going to produce more milk and they're going to make more money. So the leverage off of that low cost position look to capitalize I would argue with products that are going to give them even better performance in terms of milk yields and look to utilize more of our products. So I wouldn't say it's necessarily a direct correlation to our price, but certainly to the consumption.
Andrew O'Conor – Bank of Montreal: Okay. All right. That's helpful. And then, lastly, what interest rate has the company paying on the borrowings used to execute the purchase of SensoryEffects?
Bill Backus: Currently it's about 2%.
Andrew O'Conor – Bank of Montreal: 2%.
Bill Backus: That's correct.
Andrew O'Conor – Bank of Montreal: All right, sir. Thanks, again, guys. Good luck.
Dino Rossi: Thank you.
Bill Backus: Thank you.
Operator: Our next question comes from Tony Polak from Aegis Capital.
Tony Polak – Aegis Capital: Good morning.
Dino Rossi: Good morning, Tony.
Tony Polak – Aegis Capital: The tax rate going forward is it going to still be at this high rate that second quarter was, or do you expect it to come down?
Bill Backus: I expect it to normalize here at about 35% going forward.
Tony Polak – Aegis Capital: Okay. You talked about R&D in SensoryEffects and I guess other R&D. Could you give us an idea how much that was in the quarter and what kind of R&D that would be going forward?
Bill Backus: Hey, Tony we'll get back to you with that number in the actual R&D spend. I don't have that – we don't have that right at our fingertips but we will have it here perhaps before the call is over.
Tony Polak – Aegis Capital: Okay.
Bill Backus: Straight up, Tony, on the P&L the R&D for the quarter was a $1 million for the three months.
Tony Polak – Aegis Capital: Okay.
Bill Backus: But that, Tony just to be sure that's partial quarter for Sensory.
Tony Polak – Aegis Capital: Right.
Bill Backus: That number will go up some.
Tony Polak – Aegis Capital: Right. And could you give us an idea of what going forward that’s going to be spent on, what type of products or into what particular industry?
Bill Backus: Yes. We alluded to even some projects here on the ARC business. I see it goes to every one of the businesses and some of it definitely is organic molecule work, other is applications which would probably be more on the human food and nutrition side. External projects [indiscernible] products animal trials if you will with universities and other research centers. So it's going to be touching pretty much all of our segments.
Tony Polak – Aegis Capital: Okay. Could you give us an idea what the depreciation and amortization is going to be going forwards into the next quarter because it was a partial quarter on the DNA?
Bill Backus: Yes. Tony it should be about $10.2 million going forward.
Tony Polak – Aegis Capital: $10.2 million annualized.
Bill Backus: That's per quarter.
Tony Polak – Aegis Capital: Per quarter. That much?
Bill Backus: Yes.
Tony Polak – Aegis Capital: Okay.
Bill Backus: I mean keep in mind here, with Sensory the impact so just to give you some idea, you know, quarter here was about 7.2. Last quarter Q1 was 2.6. So it's all related to the step-ups in fair value accounting related to the acquisition.
Tony Polak – Aegis Capital: All right. Okay. Thank you. Great quarter.
Dino Rossi: Thanks.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of [Chang] (ph) from Aegis Capital.
Unidentified Analyst: Hi. Thank you for taking my questions. Could you give us an update on the status of the autism drug candidate partnered with Curemark?
Dino Rossi: Well, yes. I think – we're the producer of the product, we're not the marketer. We continue to work with Curemark as they look to file their NDA and I – given that we are not the marketer or the owner of this product there's some things that you know so we don't know everything that's going on, but clearly there's – I would say there's progress being made and we're doing everything they need from us as a supplier of the product and, I'm reluctant to go further just because I'm not involved day to day with all of the activities that are going on there, but certainly I think the expectation is that early next year they expect to have the product on the market. That's intelligence from them, but that's pretty much what I can tell you right now.
Unidentified Analyst: Okay. Could you also give us a perspective on the use of choline environmentally friendly fracking?
Dino Rossi: You mean how much we sold into that space?
Unidentified Analyst: Or how much is -- I mean it’s just general perspective on the use of choline?
Dino Rossi: Yeah. Well, clearly, we talk about the growth that took place both sequentially and quarter-over-quarter. As we alluded to in Q4, and certainly Q1, I think there was some slowness in the market mostly because of weather. I really do believe that was the case and certainly as the -- as the weather cleared up consumption has continued to grow very, very nicely. In terms of additional penetration into the existing market, I do believe there's a bit more of that going on. Still there's no mandatory requirement, if you will, at a state or federal level to disclose, you know, all of the components going into the frac fluids. There's definitely some volunteer reporting going on in the market, but it's still a little bit difficult to get an overall handle. Our rough numbers are that maybe we're at 20% of the market in terms of penetration. And I think probably -- I mean, we're excited about that in terms of upside opportunity, the fact that the market is growing at a pretty good clip right now.
Unidentified Analyst: Thank you.
Dino Rossi: Thank you.
Operator: Thank you. At this time, we have no further questions. I will turn the call back over to our speakers for closing comments.
Bill Backus: Okay. Well, I just want to thank everybody for attending the call today and look forward to reporting the -- hopefully clarified, more clarified numbers as we go forward here. So thanks for your support. We'll talk to you soon.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.